Operator: Good afternoon. Ladies and gentlemen, thank you for standing by. Welcome to the Marqeta First Quarter 2022 Earnings Conference Call. [Operator Instructions] After the speakers’ remarks, we will open the line for your questions. As a reminder, this conference call is being recorded. I would now like to turn the call over to Stacey Finerman, Vice President of Investor Relations to begin.
Stacey Finerman: Thanks, operator. Before we begin, I would like to remind everyone that today’s call may contain forward-looking statements. These forward-looking statements are subject to numerous risks and uncertainties, including those set forth in our filings with the SEC, which are available on our Investor Relations website, including our annual report on Form 10-K for the year ended December 31, 2021 and our subsequent periodic filings with the SEC. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of the time of this call and the company does not assume any obligation or intent to update them, except as required by law. In addition, today’s call includes non-GAAP financial measures. These measures should be considered as a supplement to and not a substitute for GAAP financial measures. Reconciliations to the most directly comparable GAAP measures can be found in today’s earnings press release or earnings release supplemental materials, which are available on our Investor Relations website. Hosting today’s call today are Jason Gardner, Marqeta’s Founder and CEO and Mike Milotich, Marqeta’s Chief Financial Officer. With that, I’d like to turn the call over to Jason to begin.
Jason Gardner: Thank you, Stacey. Good afternoon, everyone and thank you for joining us for Marqeta’s first quarter of 2022 earnings call. I will start with a brief overview of our results for the quarter and then I will dive into a few of our key focus areas as we diversify and grow our business. Total processing volume, or TPV, was $37 billion in the quarter, representing a 53% year-over-year increase. This growth rate is notable given that the first quarter of 2021 benefited from stimulus payments. Our 53% growth rate also represents an 11% growth on a sequential basis from the fourth quarter of 2021, an exceptionally strong quarter. Our growth is being driven by a more diverse set of customers as the number of customers with over $500 million in TPV doubled from the first quarter of 2021. Our net revenue of $166 million in the quarter represents a 54% increase from the previous year. The main drivers of growth we saw throughout 2021 are still intact. Consumers continue to trust neobanks to manage more and more aspects of their financial lives as evidenced by the increased tax refund we saw deposited in Cash App. We also witnessed continued strength in buy now, pay later despite Q1 being a seasonally weaker quarter for retail sales. Expense management also continues to show momentum as corporate travel begins to bounce back and companies look for more innovative and efficient ways of handling their operating expenses. Newer customers signed in 2019 contributed to more than 20% of our growth in the quarter. These customers are growing over 5x as fast as customers signed prior to 2019. As a result, these newer customers now account for about 20% of our total TPV, which is double the comparable quarter of 2021. Block accounted for 66% of our net revenue, which includes 2 months of Afterpay volume based on the timing of the deal closing, a decline from 73% in the first quarter of 2021. This is slightly up from 63% in the fourth quarter of 2021, primarily due to increased tax refund deposits driving growth in Cash App spending and strong buy now, pay later volume in the fourth quarter. The strong first quarter reflects our continued success in diversifying and growing our business by focusing on 3 critical factors: one, fueling our customers’ success; two, broadening the ways we support our customers; and three, increasing our global platform’s resiliency, reliability and scalability. First and foremost, we want our customers to thrive. Our success is our customers’ success. We are always looking to fuel customers growth on our platform by giving them the tools they need to diversify and broaden their businesses. This is enabled by Marqeta’s single-stack platform which our customers can easily configure. Marqeta’s best-in-class platform, allows our customers to code once and quickly deploy programs across multiple markets. We have spoken many times about our U.S. based customers expanding abroad. Our European business also represents the tremendous value our single stack provides. Across Europe, we have a growing number of customers that use the Marqeta platform to launch in other countries quickly, including the U.S. Payhawk, Bulgaria’s first startup to achieve unicorn status, has been live in our platform for the past 2 years. The Marqeta platform enables Payhawk, an expense management company, to expand throughout Europe quickly and they plan to launch in the United States shortly their first market outside of Europe. Capital on Tap, which provides a small business credit card and spend management platform to over 100,000 small businesses in the UK, recently used Marqeta’s platform to launch their product in the U.S. These are just two examples of more than half of our top 10 and more than one-third of our top 20 customers that use Marqeta in multiple geographies. Another customer that has leveraged our platform to drive tremendous growth is Upgrade Card. Upgrade Card offers a disruptive version of credit cards turning monthly balances into low-cost installment plans and offering unique rewards. Their partnership with Marqeta and our ability as a modern card issuer to leverage multiple APIs and configurations facilitate the launch of new products and rewards. As a result, Upgrade has launched 4 reward card programs, broadening its total addressable market to cover a larger target audience, from millennials looking for crypto rewards to savers looking for cash back. Upgrade Card was recently named the fastest-growing U.S. credit card in 2021 by Nielsen and the only fin-tech featured in Nielsen’s top list of the Top 50 U.S. Credit Card Issuers. Our second focus area, providing broad support for our customers. This is evidenced by our program management capabilities, which we offer as Managed by Marqeta solution. These capabilities serve as a core competitive advantage for Marqeta. Our Managed by Customers rely on us to manage the complexity of card network rules, obtain bank sponsorship and navigate the legal and regulatory landscape while allowing for innovation. This enables our customers to leverage our deep payments expertise, reducing the burdens of running a card program. Hence, they are free to focus their precious engineering resources. This makes it significantly easier for our customers to bring entirely new and distinct programs to market. For example, we recently helped one of our Buy Now Pay Later customers launch a new type of virtual card that could be used for multiple purchases at different merchants. Marqeta was able to handle complexities and nuances of this card program in a relatively short amount of time with our expertise and managed by capabilities. We also offer value-added services such as the management, KYC or Know Your Customer to card fulfillment to broaden the many ways we support our Managed by Customers. Let me share an example. Card issuers have to balance risk and growth effectively, airing too conservative or aggressive can derail a new card program. Therefore, to help our customers grow in a risk-aware way, we recently launched RiskControl control. This comprehensive product suite gives our customers end-to-end control of our risk management to solve significant pain points. One of the products within the suite real-time decisioning lets our customers fine-tune controls which transactions are approved. We’ve built this product from the ground up and it was created exclusively for card issuers. While the networks and other issuer processors offer similar products, we believe our real-time decisioning solution is more comprehensive using the most relevant data from the issuing point of view rather than the acquiring point of view. By enhancing the card networks risk scores with their own industry and customer data points, we can run multiple rules simultaneously and our customers can change these rules on the fly. Our solutions – other solutions typically have a review process for creating new rules, which are not helpful when there’s a new fraud attack. Our solution allows our customers to implement risk rules based on a cardholder’s spending history, making it a strong fit for verticals like expense management. Our third area of focus, increasing the resiliency for liability and scalability of our global platform that builds redundancy and scale for the future, we recently added another bank partner to our platform, Evolve Bank & Trust, who will support the full range of Marqeta’s program management capabilities. With Evolve, we have four different bank partners in the U.S. that can provide this service, which allows us to find the best match for our customers. For example, Evolve’s dedicated open banking division offers innovative banking-as-a-service, payments and technology solutions to a large, diverse portfolio of fintechs. This, combined with our focus on financial services, makes Evolve a great partner for us and us, a great partner for Evolve. In closing, our Q1 results demonstrate a continuation of solid performance in 2021. Our business delivered very strong growth against a backdrop of global and economic uncertainty and a tough year-over-year comparison. Looking out at the remainder of 2022, I am thrilled by the many exciting customer developments in our pipeline and the additional money movement tools we’re building for our customers. I will now turn the call over to Mike.
Mike Milotich: Thank you, Jason. Marqeta delivered another great quarter with revenue growth of 54%, fueled by a 53% increase in TPV. Our top line growth reflects our ability to support our customers’ growth at scale, with 14 of our top 20 customers growing their TPV at least in the triple digits in Q1. Our net revenue and gross profit margin were higher than we expected, largely due to outperformance by customers outside of our top 10. This outperformance was very broad-based, driven by a stronger growth from several dozen customers. This outcome demonstrates our continued success in diversifying our business in terms of the number of customers, the industry verticals where we have achieved scale and the geographies we serve. Also contributing to the better results was a newer customer placing a large card fulfillment order, one of the many services we provide, which is a positive signal for the growth to come for that program. Our net revenue and gross profit upside translated into a better adjusted EBITDA margin. Q1 TPV was $37 billion, an increase of 53% despite tough year-over-year comparisons driven by the government stimulus payments in Q1 2021. The financial services vertical grew over 10 points slower than overall company growth as one of the biggest beneficiaries of the stimulus last year. For Block specifically, the tough stimulus comp was partially offset by a large increase in the tax refund direct deposits, which helps Cash App card spending. On-demand delivery continues to be our slowest-growing vertical. However, it did grow double digits in Q1, accelerating 2 points from last quarter due to two factors: the rise of the Omicron variant lifted volume in January in both the U.S. and Canada; and one of our large customers is successfully expanding into drug stores, retail and grocery driving a meaningful step-up in growth versus last quarter. Lending TPV, including Buy Now, Pay Later, more than doubled versus Q1 2021. This payment option continues to proliferate, and we now have 5 customers who had over 1 million transactions in the quarter. Expense management, more than tripled year-over-year, with 7 customers growing over 100%. We now have 4 customers with TPV greater than 100 million in Q1, twice as many as we had at this time last year. Strong performance by customers who are newer to our platform are driving increased diversification of our revenue as I mentioned earlier as a driver of our Q1 upside. Customers who joined our platform since 2019 are now about 20% of our TPV and are growing more than 5x faster than customers who joined the platform prior to 2019. While our top 5 customers continue to drive the majority of our TPV and grew 39% in Q1, the TPV of our remaining customers grew more than 5x – more than 4x that rate. Net revenue was $166 million and grew 54% in the quarter, consistent with our TPV growth of 53%. Therefore, our net revenue take rate was in line with last year and remained stable in each of our top four verticals. Compared to last quarter, the Q1 net revenue take rate was 2 bps lower due to the reduced contribution of higher-yielding verticals that benefited from holiday shopping. Our Powered by Marqeta revenue, where we purely have a processing relationship with our customer, has grown well over 100% for many quarters. Although the revenue take rate is lower, the gross profit take rate is similar to many of the verticals in our Managed by Marqeta business. The Powered by Marqeta customers are gaining share of TPV, but much of those share gains are coming from other low take rate verticals, which is resulting in a stable overall take rate despite these changes in our business mix. These Powered by Marqeta customers served a variety of verticals, many operate outside the U.S. and now drive more than 10% of our TPV versus being a low single-digit percentage 1 year ago. Gross profit grew 50%, 4 points slower than revenue due to a network incentive catch-up benefit we received in Q1 last year after we hit a new volume tier in our contract. As a reminder, our incentives operate on a contract year that runs from April through March. And in this contract year, we hit the higher volume Tier 1 quarter earlier, given the incredible growth of our business, as you likely remember from last quarter’s results. If you normalize for the catch-up incentive of $3 million in Q1 2021, our gross profit grew 60% this quarter. Our network fees are growing in line with volumes, but there are two factors driving the normalized gross profit growth to be above revenue growth. One, fees to our bank partners are growing materially slower than TPV. And two, our network incentives are growing a little faster than TPV on a normalized basis. Both of these factors demonstrate the strategic relationships we have with our bank and network partners as well as the powerful operating leverage that can be achieved in our business as we scale. As a result, the Q1 gross profit margin was 45%. The Q1 GAAP net loss was $61 million, which includes a $12 million non-cash nonrecurring impairment of an option to purchase a private company we invested in last year. On a non-GAAP basis, adjusted EBITDA for the quarter was negative $10 million, driven by investment in resources and technology that are fueling the growth of the business and the scaling of our platform. The adjusted EBITDA margin was negative 6% and which was a few points better than we expected due to the higher gross profit as well as some operating efficiencies. Now, let’s shift to our expectations for Q2 and the rest of 2022. We expect Q2 net revenue growth to be between 46% and 48%. This is higher than we expected a couple of months ago as many of the drivers of our outperformance in Q1 should continue. This is also consistent with the trends we have seen so far in April. This expected growth rate is a little lower than Q1 as we grow over a larger base. The year-over-year revenue increase in dollars in Q2 is expected to be similar to Q1. Q2 gross profit margin should be in the 40% to 41% range. As we discussed last quarter, Q2 is our lowest gross profit margin quarter as our network incentive contracts run April to March. Therefore, volume tiers reset in Q2 of each year, resulting in lower network incentives, which then rise with growing cumulative volumes as the year progresses. However, this step-down in the gross profit margin in Q2 is expected to be less significant than it was last year, given the increased scale of our business. Therefore, we expect gross profit to grow several points faster than net revenue growth. We expect the Q2 adjusted EBITDA margin to be negative 10% to 11%, our lowest margin quarter due to the gross profit dynamics I just described. Our adjusted operating expense growth in Q2 should slow at least 10 points from Q1 as we grow over the ramping of our investment throughout 2021. Our expectations for the full year 2022 are as follows: net revenue growth is expected to be in the high 30s based on the trajectory of the business year-to-date and our expectations for new business contributing later in the year. As I shared last quarter, growth should step down in Q3 as we grow over the rapid scaling of the business that occurred last year. Q4 growth will then step down more meaningfully as we lap the incredible performance in Q4 2021. Given the current economic uncertainty, the back half of the year is challenging to project, but we will share more with you as we progress through the year. Q4 is particularly tough to forecast since last year was the first time we saw a meaningful impact from holiday spending on our volume. Our expectations for gross profit margin remain unchanged and should be in the low to mid-40s, consistent with our long-term guidance of 40% to 45% on an annual basis. We hope to share a tighter range with you next quarter once we pass the midpoint of the year. But right now, we expect Q3 and Q4 gross profit margins to be a little lower than Q1. Adjusted EBITDA margin is expected to be negative high single digits as we continue to invest in fueling our customer’s success, running the ways we support our customers and increasing the resiliency, reliability and scalability of our global platform. Adjusted expense growth should step down 10 to 15 points each quarter as we progress through the year, and the EBITDA margin in Q3 and Q4 should be roughly in line with the full year expectations. To wrap up, Marqeta had another great quarter that highlighted the many ways we are diversifying our business as we continue to scale. Each of our top 20 customers had around $100 million of TPV or more in the quarter. Our net revenue take rates remain steady as we continue to find ways to add value for our customers with our program management solutions. Gross profit margins remained steady due to great bank and network partners and the powerful operating leverage of our business as we scale both our Managed by Marqeta and Powered by Marqeta businesses. We continue to invest in new capabilities and resiliency but as the business scales, the incremental investment required becomes less significant compared to the incremental revenue that can be captured. In the long run, we remain confident the business will operate at a 20% plus adjusted EBITDA margin once we have captured more of the incredible opportunities in front of us. I will now turn it back over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Timothy Chiodo with Credit Suisse. Please go ahead.
Timothy Chiodo: Great, thank you. Good afternoon, everybody. I want to focus on an opportunity that we think might be a little bit misunderstood or maybe less appreciated, and that’s your broader banking-as-a-service opportunity. So software-type services, things that are not tied to interchange directly. We thought that your Plaid ACH transfer partnership was sort of a nod in this direction. But if you could talk a little bit about the ability to support customers in terms of a banking core or ledger systems or other sort of bank tech-type ancillary services. I think that would be helpful for investors.
Jason Gardner: Sure. Thanks, Tim. So you’re right. I mean customers primarily care about global money movement. And as I talked about in my prepared remarks, it’s really three factors that’s fueling our customers’ success, broadening the ways we support our customers and then increasing global platform resiliency, reliability and scalability. So today, we actually currently offer many baking-as-a-service capabilities to our customers such as direct deposit accounts, ACH transfer service, ATM withdrawals, I mean where they can use specific tools that solves a business need to unlock value. So banking-as-a-service, part of what we do in the issuing processing space is just one dynamic. We’re the leaders in that monitored issue, we pioneered this space. And we’re always looking to add additional banking as a service capabilities based on customer needs. So our target customer base does not need every aspect of banking-as-a-service. They build – we’re building what we think matters to our customers, number one additional money in the money out capabilities are absolutely on a roadmap for this year. And then we’d look to partner in certain areas like with that, you mentioned, Plaid, Simplify ACH. We also have eight partnerships in the banking-as-a-service space, which companies such as Temenos and Centerra. So we will seek to always add banking as a service offerings where we think it makes sense for our customers. We very much like hit the puck and point our customers to where they want to have, where they want to go. We partner with a lot of companies based on the leaders in the space and what our customers want. But ultimately, banking-as-a-service is something that we are absolutely focused on. In fact, we think we handle the big part of that, which is issuing and processing, and then we will always add additional capabilities when needed.
Timothy Chiodo: Excellent. Thank you for that context Jason. Is it fair to assume that some of those more software-type services, meaning the banking core ledger type of offerings could come at a slightly higher gross margin for Marqeta?
Mike Milotich: I don’t know if that’s necessarily true. It’s really a different type of model. Usually, you’re charging a lot like on a per user basis rather than on a transaction or volume-based business. So I think it really depends on how active the customers are. So I wouldn’t say that’s necessarily the case, Tim, but it couldn’t go either way depending on the level of engagement of those customers and the other types of capabilities that we’re providing.
Timothy Chiodo: Excellent. Alright, thank you, Jason. Thank you, Mike. Appreciate the answers.
Operator: Thank you. Our next question is from James Faucette with Morgan Stanley. Please go ahead.
James Faucette: Great. Thanks very much. I wanted to just touch on kind of the way that you’re formulating the outlook both for the current quarter and for the rest of the year. It sounds like the volumes that you’re seeing right now kind of across the different groups sound pretty good. But I’m wondering if you can give a little bit more color as to where you’re seeing particular strength currently and maybe compare and contrast the different segments. And then as you look at the rest of the year, you mentioned that you want to be a little bit conservative given the economic uncertainty. Can you just give a little more idea of the things that you’re watching where you think there could be some variance from what you’re seeing right now?
Mike Milotich: Sure. Thanks, James. I think the – I would say the two areas of particular strength right now are the buy now, pay later vertical, as I said, grew more than 100% for us in the quarter. So, very strong performance. Expense management grew over 200%. So those are two parts of the business that are growing quite quickly and scaling very rapidly. It’s across multiple customers. So it’s really broad-based, where we’re providing a lot of different capabilities – like those are I guess, relatively large verticals. Within that, there will be customers who have a particular target or niche within that. And we serve all of those, which is allowing us to scale quite quickly. And of course, that also allows us to add a lot of value with our range of capabilities that they can expand into. So I would say those are the two that are growing the fastest. The financial services vertical is still – given the size of it, is still growing quite quickly, but a little bit slower than our overall customer base. And then the lowest – the slowest growing is on-demand delivery, which, of course, had an incredible explosion of growth during the pandemic and is now – the growth is now kind of slowing on that a significantly larger base. So those are the areas where we’re seeing a lot of growth. The last thing I would say about this, as I kind of mentioned in my remarks, is as we diversify to more and more customers, there are a lot of newer verticals where we’re just starting and customers who are relatively new and so are really ramping quickly and have explosive growth. And so it’s those newer customers that we have, as I mentioned, that are growing 5x faster than customers who were on the platform prior to 2019. And so – and those are coming across a whole swath of use cases. So that’s how we’re thinking about it. In terms of as we look out into the out years, I mean, I think – or the out quarters, one of the things we’re just watching at is – watching is the spend behavior and the level of activity. So are we seeing – obviously, inflation has been here for quite a while. We don’t see, for example, big changes in our ticket sizes. And we’re also not seeing big changes in the spend behavior so in terms of like transactions per active card, for example. So those are the things we’re trying to watch for to see if there is any slowdown in the types of either consumer or business use cases that we support. And right now, everything looks good, but that’s something that we’re going to continue to monitor as we go forward.
James Faucette: Yes. That makes a lot of sense. And then just quickly on capital allocation. Obviously, valuations have come down a lot. You guys have a very strong cash position, especially relative to your market capitalization right now. You’re on a non-GAAP basis, at least in cash burn you’re not really spending or burning a lot of cash. So how do you think about capital allocation, whether it be for your own shares or maybe looking at potential acquisitions of those valuations of other companies come down? Just wondering how you’re thinking about that right now?
Mike Milotich: Yes. Thanks, James. I mean our first priority is definitely for M&A. And the fact that valuations are coming down is obviously to our benefit. We want to continue to maintain our first mover advantage. And so we’re looking at product expansion capabilities that could really leapfrog our current roadmap so we can bring additional capabilities to market sooner for our customers and a broader range of customers. So that is definitely the first priority for us and the fact that valuations are coming down will hopefully be helpful for us. That really is the area that we’re focused on for the use of our cash. And as you mentioned, even – not even on an adjusted EBITDA basis, even if you just look at our overall operating cash flow. If you exclude two items this quarter that were very timing specific in terms of one is the paying out of bonuses that were accrued last year in the P&L. And one is the paying an upfront amount to – or paying upfront cash to a large partner of ours or a large vendor of ours to get a reduction in the cost, if you remove those two, our operating cash flow for the quarter was actually positive. So we are actually not really burning cash, but we are – we do plan to mostly deploy our cash for M&A purposes. If – as time goes by, if we don’t find that we need that much or with valuations coming down, we have some left over, then we might consider share buybacks. But for now, our primary focus is M&A.
Jason Gardner: Yes. And James, I’ll add to that. The opportunity for the services verticals and technology is huge for Marqeta and therefore, really investing more to take advantage of the massive opportunity ahead of us is the plan and we will always look to M&A to fill gas or help us accelerate our product roadmap.
James Faucette: Appreciate that, Mike. Thanks, Jason.
Jason Gardner: Yes.
Operator: Thank you. Our next question is from Darrin Peller with Wolfe Research. Please go ahead.
Darrin Peller: Hey, thanks, guys. Listen, when we look at the verticals that you are doing well and then maybe just explaining a little more on the incremental verticals that are growing at 5x the rate of what was pre ‘19 or more than that even. If you could just give us a sense of what the key capabilities are that’s been resonating with those verticals so much better than your competitors out there. And how that’s parlaying into new verticals and what some of those verticals are? And then just one quick follow-up on that – on the vertical discussion would be. We’re getting a lot of questions over the BNPL exposure at the company and maybe crypto given some of the volatility we’re seeing in those end markets. And so just thinking about what’s been factored into your outlook? And maybe you can give us some color on how big BNPL may be for you guys? Thanks, again.
Jason Gardner: Sure. Thanks, Darrin. So our – and as we talked about, our investments are always focused on the long-term growth of the company. And we thought about our strategies from the beginning, we started with commerce disruptors. Really, it was the DNA match was building out a platform and delivering APIs so that engineers and product people can sort of dream up the product they want to go build or solve a pretty significant issue that they couldn’t do with sort of a vanilla card that was delivered to them from a bank. I mean the card would basically do one thing and they had to figure out how to shoehorn it in their business. So we started with on-demand delivery which was the driver goes to the restaurant to pick up food, the card, let’s use DoorDash as an example. The driver is using a card that is in a terminal state and now turns to one based on the GPS coordinates of their phone and they have a DoorDash Apple in there. They swipe the card. We repackaged the ISO message that’s being delivered from the point of sale. We deliver that to DoorDash. They parse that message to find the drivers. They have Jason at the right restaurant, picking up the right food for the right order for the right amount. If yes, we will authorize the transaction or tell Marqeta to authorize the transaction. We then repackage that message tenant at the point of sale and the driver can go on their way. That significantly reduced fraud down to near zero and allowed them to go scale. So we start with on-demand delivery. We then went into expense management and e-commerce and buy now pay later and all sorts of different verticals where part of our strategy is to go into the vertical and we land some of the largest customers, and then we expand throughout the vertical and bring very sort of specialized capability for them. We then went to digital bank. So Block is a great example here in the U.S., three product Cash App, Team Card, Square Card, and then moving into Europe with companies like Lydia and then large financial institutions. So we always think about like where do we think the world is going to go. And our belief and leadership to where the payment world is headed will always be about first mover advantage. And we add that functionality that our customers are looking for. And the platform can easily accommodate scale of a growing customer base, new verticals, new geographies, new use cases, new products. And then obviously, more to come, we will be talking about in the future here, four verticals that we’re adding into and more customers across those four spectrums. But within payments, you know this. It’s like we’re just scratching the surface. We’re less than 1% of the carded volume needed in the U.S. alone. So the opportunity for us to grow is just – is tremendous.
Mike Milotich: And then maybe for your second question, well, I guess just one other thing with that, I guess, just to add on and then I’ll answer your second question. One of the reasons are having success also, Darrin, is just because our platform is so flexible, customers can do a single-use virtual card, a virtual card that might be valid for a period of time or a physical card. All those things are very easily leveraged, which allows also our customers to expand, which I think is a key part of what makes us successful. In terms of our exposure to BNPL at the U.S., BNPL is more than 10% of our TPV as a segment, but it did decline two percentage points from last quarter. So a lot of that is seasonality because of just Q4 tends to be very retail-oriented. But we are – so it’s a meaningful part, but it’s a little smaller than it was last quarter. We’re trying to diversify our product set within BNPL, as I mentioned, like with different – whether it’s a virtual card, physical card. We’re getting interest from established card issuers providing BNPL. So I would say we still think this payment capability is attractive to consumers, and we have established financial institutions who are looking to get into this market where we can provide them, again, purpose-built solutions, as Jason just described. And that so we can help some of these new entrants who already have card programs offer this as a payment capability. And it’s also these types of fluctuations in the market is why we’re trying to diversify in the new verticals. So I mentioned, expense management, for example, is also double-digit percentage of our TPV and growing incredibly fast. We are moving into more of an e-commerce vertical with – and travel-related capabilities. We are building our presence in credit. So these are all ways that we are diversifying our business so that if things were to slow down a little bit in BNPL, hopefully, that has a minimal impact to our performance.
Darrin Peller: Yes. That’s really helpful, guys. I mean, alright. I snuck into, so I will turn it back to the queue for another sets of questions. So, thank you.
Jason Gardner: Alright. Thanks, Darrin.
Mike Milotich: Thanks, Darrin.
Operator: Thank you. Our next question is from Tien-Tsin Huang with JPMorgan. Please go ahead.
Tien-Tsin Huang: Thank you very much. Jason and Mike, I like your comments on the 2019 vintage and how well it’s done. I’m just curious if you’re looking at the pipeline of new customers now based on what you see, what’s the quality of that look like? Is there a lot of potential for that to be another strong vintage? I’m just curious, given all the questions here about new products, use cases and you generally being in front of that. How do you feel about the pipeline?
Jason Gardner: So we have a number of announcements to make for the rest of the year, both on products, geographies and customers. Credit is something we’ve really focused on, exciting deals in the pipeline for credit, new products for well-known fit and text as well as disruptors. We’re not going to – we don’t want to talk about the new things that we’re going to be coming out with in the coming quarters here, but really look forward to sharing announcements latest to hear about a lot exciting deals that we’re working on. So specifically around the pipeline, the pipeline can grow in different ways. It grows based on current verticals we’re in, current customers, adopting new products that we’re building for existing products to sort of scale their business and grow their addressable market. Geographies. So we talked about how a lot of our customers grew around the world on our platform. And we focused on a lot like that user experience is primary for us. And I’ve talked about in the past where if you have a customer that was using us out of Australia than using us out of the U.S. and then using us at it the UK we want that experience to be much the same. And every country has different types of payment networks and payment technology and regulatory and compliance. And we look to build more and more as our – the companies or our customers really focus on a global basis and move around the world. So we are excited about the growth in the future. We have a long-term vision here that’s been playing out really well over the years and really looking to enter the new verticals, new products and a lot more to announce here in the coming quarters.
Tien-Tsin Huang: Alright. That’s fun. My quick follow-up maybe for Mike, just I hear loud and clear the tighter distribution. I’m just curious if we want to translate that in terms of revenue per customer, is the distribution a lot tighter for clients, let’s say, six through 20 or two through 20? You pick it, but I’m just curious if you’re seeing a little bit more tightness there from a client curve? Thanks.
Mike Milotich: Yes. So I would say that Yes, we obviously have block and we’re, I guess, quite upfront about the contribution to our business that they represent. And then I would say the next three to four customers are – sort of have 1 group, and then you’re right, then you get into I don’t know, maybe six to 15 or 20 are probably of similar size. And then you get the – outside of the top 20, then you have a very large number of customers serving all kinds of different verticals that are in very much hyper growth stage, which is what’s exciting. You don’t – like almost your question earlier, sometimes you don’t necessarily know which of those customers 3 years from now could be a household name and be quite big, right? So – but they are all growing really fast, and that also makes it a little bit hard to project because they are relatively small and it’s hard to estimate what that curve is going to look like as they ramp up. But that’s how I think about it. There is Blocks and there is a few that are similar and then there is probably the next 10 to 15. And then there is then a large swath of customers that are all relatively small, but very high growth.
Tien-Tsin Huang: Yes. I’m sure there are – several of that are incubating. Thanks for the update. Great quarter.
Jason Gardner: Thanks, Tien-Tsin.
Operator: Thank you. Our next question is from Ramsey El-Assal with Barclays. Please go ahead.
Ramsey El-Assal: Hi, thanks for taking my question. Good evening. I wanted to ask you to comment on the international opportunity and sort of more broadly on what your strategy is there? Is it more kind of an opportunistic approach where you move into new markets as well opportunities present themselves or are you thinking – you mentioned it quite a few times on the call today, can you accelerate that push with M&A such that international becomes kind of a growth driver that we need to pay close attention to?
Jason Gardner: Thanks, Ramsey. Yes and yes. So modern card issuing is a global phenomenon. I mean, the cool thing about the network is they have interconnected all the merchants in the world, whether online or offline, that wants to accept the card. So that’s an enormous opportunity for us. And we have built modern card issuing to solve a lot of the product capabilities for our customers. And we talked about more than half of the top 10 and more than one-third of our top 20 customers use Marqeta in multiple geographies. And as they begin to sort of spread their wings, build more addressable market, build new products, we really help them with our managed by capability to enter those markets, compliance and regulatory in different countries with pretty heavy-duty stuff. So, we really help them figure out how they want to go and get this time. So we’re seeing lots of encouraging signs from our customer base, not only adopting new products but moving internationally. So the platform is built so that they code once and employee across multiple markets. It saves them a lot of time and a lot of money in regards to building within a specific market and servicing a constituency there. So we operate in 39 countries today. That is absolutely growing, we have more to announce this year. Again, multiple customers who started in the U.S. – with us in the U.S. are now international, more customers who started in Europe or Australia or now in the U.S. And the platform is absolutely purpose built and is very much resonating globally in the countries that we’re operating in. So, we look to absolutely grow it in additional countries, new products to help those companies gain a foothold and build a strong business, addressing a very specific constituency. And to help us with that, we are absolutely looking at M&A. And that’s strategically first, but simply because the broader market and the conditions that we are seeing today, there will be lots of opportunities for us, where we will be opportunistic. If we see something that can really enhance our roadmap, meet up for our roadmap, there is lots and lots of great companies out there, lots of new companies. The venture capital world and others have been investing in this space for many years now. So, we are excited about it. But yes and yes, like absolutely building internationally and looking to use M&A to opportunistically speed up our roadmap and take advantage of products we see in market that our customers want.
Ramsey El-Assal: Great. Let me sneak one quick one in. It’s about the crypto vertical. And I am just curious whether volatility with crypto asset prices translates into either volatility in your crypto volumes or also any type of like slowdown in decisioning in terms of the pipeline of new crypto clients, just given everything that’s gone on in the asset prices in that space, I was just curious?
Jason Gardner: Well, so our platform, just to take a step back in regards to what we do, so our platform at as a gateway between fiat and cryptocurrencies for partners like coin-based, backed, fold, shake pay, and we are seeing a lot of incoming interest in this capability. Using the Marqeta platform, the crypto innovators that used us enable their customers to make the app purchases at the point of sale, in the crypto wallet. So, when we see fluctuations in the market, consumers want to go and spend. They want to be able to spend those assets at the point of sale and make it incredibly easy for us – for them to do that. I believe it was there and I asked a question about our products and our capabilities and building in verticals. This is one vertical we have been provided a long time ago and approach customers to say we can create a really good experience for your customers, you want to spend crypto point of sale, and we have done that. So, we are continuing to invest in crypto. We have a pipeline around this of companies within crypto who are looking to adopt our technologies to bring more value to their consumers. And again, we are seeing lots of traction. Revenue to these customers is now in the million whereas last year, it was almost non-existent. And much like we did for on-demand delivery, buy now pay later, they use our or just-in-time funding technology and open APIs to create just a purpose-built solution for this merger vertical. It’s attracted a lot of companies in this space. And again, volatility really helps at the point of sale. And obviously, the movement in these assets gaining more value helps as well. So, again, we are looking to invest more and more in this space and there is lots and lots of opportunities for us.
Ramsey El-Assal: Okay. Thanks so much for taking my question.
Operator: Thank you. Our next question is from Andrew Bauch with SMBC Nikko Securities. Please go ahead.
Andrew Bauch: Hi team. A nice set of results here. Starting with the full year guide, I mean you beat nicely in the first quarter. Second quarter comes in above our model and consensus. So, trying to gauge the amount of conservatism that you are kind of embedding in the back half of the year, offset by these new programs you have coming on. And how should we be thinking about that given the momentum you should have exiting the second quarter?
Mike Milotich: Yes. So, I think that – I would say we definitely are not purposely being conservative. We are looking at the trajectory of the business and what we see right now and projecting that forward and not assuming a lot of disruption. So, yes, Q1 and Q2 are stronger than we expected, and we did – I guess I did sort of raise up our expectations a little bit to the high-30s for the full year, so because of that. So, I would say we don’t – we are not purposely being conservative. The only thing I would flag, which I did say in my prepared remarks is Q4 of 2021 was really the first year that we saw meaningful holiday spending on our – within our customers on our platform. So, we didn’t typically have that kind of seasonality that the broader card market has in terms of a big lift in retail spending. And so that is something that makes it a little bit more challenging for us to project the Q4 number because it’s hard to know sort of – we don’t really have a long trend to base our projections on. But right now, what we see is our Q4 last year was really, really strong. And so that will be a tough comparison. But otherwise, we are looking at trajectory we have. We have new customers coming on, and we are definitely not purposely being conservative. As we see more of the performance, then we will continue to update you if there is any changes.
Andrew Bauch: Got it. That’s helpful. And then coming up on the 1-year anniversary of the IPO, I mean I know you guys reiterated your long-term expectations for growth and the 20% plus EBITDA margins. However, 1 year in the future here, the world is a lot different. So, how should we be thinking about your views around be it the path to profitability with the rising competition for talent, wages, price increases? And just one little housekeeping point, the $12 million impairment, I would assume that was included in your original guidance, correct?
Mike Milotich: So, let me answer that second one first. The $12 million impairment is adjusted out of our – so it’s not in our non-GAAP numbers. So, it wasn’t factored into the guide, but it’s a non-cash, non-recurring impairment. So, it doesn’t impact our adjusted results and therefore, wasn’t factored into our guide. So, that’s what I would, I guess answer that one. Sorry, your question before that was what?
Andrew Bauch: It’s just thinking about this business 1 year from the IPO and how the wage and cost dynamics kind of fit into that long-term?
Mike Milotich: Yes. I would say – thank you for reminding me. So, yes, I mean there is no doubt there is some pressure there. There is a war for talent, and you need good engineers, good product people to achieve the kind of growth path that we believe we can be on. So, that does increase our cost a little bit. But I would say we are very disciplined about how we deploy investment and how we prioritize those investments. So, I think it’s more a matter of changing or looking at that priority list and deciding what’s really important and what’s going to really move the needle. What is – which of those investments really have the most revenue, and you have to balance – have a balanced portfolio of investments for things that will move the needle 1 year to 2 years from now versus things that are a little further out, 3 years to 5 years out, for example. And so we just try to be very disciplined about that and be very kind of ROI-oriented, so that we think we are successfully balancing the level of investment with our path to profitability. The one, I guess benefit that we have is that our unit economics are very attractive, right. So, we have a very low marginal operating cost once we reach a certain level of scale. And our investments are typically going to need to be made 2 years to 3 years prior to meaningful revenue. So, we are balancing those things, making sure we target the right growth areas. But then our underlying economics are quite strong, and that’s where we think we will be on a path to profitability, which we will share more about in the coming quarters as we – and I will finalize our multiyear plans.
Andrew Bauch: Got it. Helpful. Thank you.
Operator: Thank you. Our next question is from Dan Dolev with Mizuho. Please go ahead.
Dan Dolev: Hey guys. Thanks for letting in question, I appreciate it. Mike, can you maybe give us – parse out a little bit what macro estimates are baked into your top line guidance kind of from a volume versus take rate perspective? That would be helpful. And then I have a quick follow-up. Thanks.
Mike Milotich: Yes. So, I would say what we are assuming right now, Dan, is that there is not a huge disruption in the trajectory that we see today, right. So and again, even within our business, as I think I mentioned a little bit earlier, we are not seeing a big change in ticket sizes, for example, even though inflation is quite significant in the market. So, we are planning or we are assuming for less disruption over the next eight months. And then we haven’t, I guess commented on anything further out, but that’s what we are assuming at this point.
Dan Dolev: Got it. Thank you. And then I have a quick follow-up on the credit side. I know that’s been a big success historically for you guys. I mean we have seen your – I mean the most established competitor in the market having a really bad quarter in the first quarter, kind of like probably negative organic growth there. And you are doing extremely well. Like what can you update – what kind of an update can you give us on successes there? Thank you.
Jason Gardner: Specifically in the credit space?
Dan Dolev: Yes.
Jason Gardner: Yes. It’s – well, our success is based on our early entry into the market. So, when we thought about building credit as a product, we just wanted a much, much, much better consumer experience. So, of the credit cards that I have, the experience is pretty much the same. And we really look to partner with companies who want to build a brand-new experience. Something is simply having logos for specific merchants, having a pin on a map, so you know where the transaction happens. Giving people lots of information and context around the specific transaction, being able to pay off that transaction because it might be at a higher interest rate than other transactions and their ability to go and do that. So, we are absolutely in the early innings. Our success has been partnered with companies that either want to rebuild the user experience or have a new product altogether. So – and if we look at across basically the verticals that we operate in or the areas, whether it’s commerce disruptors, digital banks or financial services, tech giants and large financial institutions, they are all looking to lower total cost of ownership. And we give the ability to do that. This is not a an on-premises solution, we built really good technology that they can leverage free APIs, lots of tools and features that they can use to significantly shorten time-to-market and create a much better consumer experience. So, again, we are in the early innings. And really, our success is because we are out of the gate with a brand-new product and a new view. We have a solid pipeline. There is more to announce this year both in features, functionality and customers. And yes, our success is really about where the new player in the market with new technology, but obviously, a great and growing customer base across 39 countries and more to come. But I appreciate your focus on product.
Dan Dolev: Yes. Thank you.
Mike Milotich: I am sorry. Sorry Dan, I realize I didn’t answer your take rate question. The – so let me just jump in and answer that one. So, I think the take rate so far that we are seeing is very stable. As I mentioned, there are four top verticals to the take rates were stable. It’s really going to be – what happens going forward is really about the different kind of mix within our business. So, is it a managed by customer or more of a powered by customer, we are only providing processing. What are the number of additional services that we provide our customers in terms of the uses and certain verticals are going to tend to correlate with more services if there is more complexity to that vertical. Whether it’s a consumer versus commercial program, single-use versus physical card, those are just a few of the factors, right, that are going to impact our take rates. And then – but what’s also important is that not all take rates are created equal. So, when you think about how we structure different parts of our business, how much of that take rate falls to the gross profit line, which we call our gross profit take rate can be quite different. And so there are – like in our powered buy solutions will have a much lower take rate, but almost all of that take rate goes – falls to gross profit. And so it’s really the mix between all those components that I guess, an important factor that we have to look at to project what we think will happen going forward.
Dan Dolev: Super helpful. Thanks Mike.
Operator: Thank you. Our next question is from Sanjay Sakhrani with KBW. Please go ahead.
Sanjay Sakhrani: Thanks. Many of my questions have been asked and answered. But maybe I could just follow-up on the macro question. When we think about discretionary spend being impacted as part of a cyclical slowdown, how much of your business is exposed to that? I know BNPL sort of comes to mind first and foremost. But where does neobanking and food delivery fit in? And I know, Mike, you are working on the multiyear plan and how incremental the business is. But to the extent that we do see a slowdown on the top line, do you think you have some flexibility on expenses?
Mike Milotich: Yes. So, I would say the – you are right. So, certainly, BNPL would be more discretionary. I would say as neobanking have continued to mature, more and more people are using that as their – one of their primary accounts, right, which is what you see from direct deposits, for example, it’s per square cash. So, I would say that will have obviously some discretionary purchases, but it also has lots of other types of purchases in there. On-demand delivery, I would say a lot of that is food and grocery. So, not maybe people want to get take out a little less. But generally, I would say it’s not as exposed. And expense management is more about B2B spend and optimization. So, I would say, generally speaking, we don’t have huge exposure to changes in consumer spending, but obviously, we would have some impact. In terms of the, I guess multiyear view, sorry, what was your question related to multiyear?
Sanjay Sakhrani: No, no. I know you are working on your plan. But I just – in terms of the expense trend line over the short run, if you do see an impact, like how should we think about expenses? Thanks.
Mike Milotich: Yes. I mean I think that most of our – I mean look, the big bulk of our expenses come in the form of people. And so there are some technology-related expenses, but the bulk of it is people. And so it is something that we could slow down our hiring ramp if we felt we really needed to do that. But we are constantly balancing, as I was mentioning earlier, like what are our priorities 1 year to 2 years from now versus 3-plus years. And so we are going to be watching both. But ultimately, yes, that growth in the headcount is something that we could flex if the macroeconomic picture were to change significantly, then that is something we could slowdown our increase in investment that we are making.
Sanjay Sakhrani: Okay. Thank you.
Operator: Thank you. Our next question is from Bob Napoli with William Blair. Please go ahead.
Bob Napoli: Thank you and good afternoon. Solid results. The expense management space has been pretty dynamic for you growing radically. There has been a lot of new companies that have come into that space. How do you feel about the sustainability of the growth in that area or is there a lot of volatility? And what are the opportunities in expense management, not just in the U.S. but internationally?
Jason Gardner: Yes. So, expense management has been a very fast-growing vertical for us over the past few years, companies like Expensify, Ramp, Divvy, which is now part of Bill.com. We are actually seeing because corporate travel is coming back, people are moving back into offices. Companies like Marqeta, we announced very flexible schedule for people they can either come to the office or work at home. We partner with a company around the world that has 6,000 offices that Marqetans can go to new cities and work with other Marqetans. There is obviously key corporate expenses as part of that. So, we partnered with expense management companies and what we believe is that there is still a lot to go in this vertical across all the areas that we focus on, whether it’s office disruptors, whether it’s digital banks like Square Card with Block, which is a product that’s been in market for some time. You then have the large financial institutions and the large tech giants like Google and Uber. Looking at companies like Branch who we partner with. So, we are continuing to focus on the vertical. We like the commercial side of the card business. It’s growing very quickly for us. So, we will invest more and more in that space. But ultimately, expense management is something we have been operating in for many years. And we have a ton of experience in this space. And we talk to our customers on a regular basis and sharing not only our product roadmap of features and where we are headed, but some of the things that they want to do that they are bringing to us and we are obviously looking to build that long-term vision out for them.
Bob Napoli: Thank you. And then just a follow-up on your new fraud product and your strategy around payments fraud, is – how significant is the new product? I know fraud prevention is a key value-add for Marqeta, but just any thoughts around the product pipeline or the growth strategy around payments broad products?
Jason Gardner: Yes, it’s interesting. Fraud is one of the top three things that our customers talk about and ask for. It’s why we decided to actually build the RiskControl from the ground up and we wanted the ability for them to act very quickly. Fraud can happen pretty fast and furiously in specific areas of the world. It can also be people grouping together and when they see that and the scores tell them what they should be doing, they should be able to act really, really quickly. So, it addresses really one of the most common things that customer ask, which is tools to help them scale programs in a risk-aware way. And RiskControl is a certain example of how our managed by customers add that significant value. So, it’s the end-to-end solution that helps everything from signing up your cardholders and KYC, which is now your customer, protecting them at the point of sale with 3DS or real-time decisioning. And afterwards, it’s really an end-to-end solution for them. We just launched it. There is a lot more going to be adding to it, but we feel like it will become one of the market-leading product solutions in the coming years for our customers.
Bob Napoli: Thank you. I appreciate it.
Jason Gardner: Alright. Excellent – yes, go ahead.
Operator: We have reached the end of the question-and-answer session. And I would like to turn the call back to Jason Gardner for closing remarks.
Jason Gardner: Thank you, and thank you, everyone, for joining our Q1 F ‘22 earnings call. We look forward to updating the company here after our second quarter. We got lots to come out in the coming months in regards to both new customers and new products. Stay safe. It’s pretty rough out there, whether it’s economic uncertainty or the continuing war in Europe. We have a lot of faith that we are going to get through this, not only as a country and a nation, but globally, we just look forward to making sure that everyone is safe and we look forward to updating everybody after our second quarter. Take care and thank you.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.